Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss BBSI's Financial Results for the First Quarter Ended March 31, 2016. Joining us today are BBSI's President and CEO, Mr. Michael Elich; and the company's interim CFO, Mr. Tom Carley. Following their remarks, we'll open the call for your questions. Before we go further, I would like to take a moment to read the company's Safe Harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. The company remarks during today's conference call include forward-looking statements. These statements along with other information presented that are not historical facts are subject to a number of risks and uncertainties. Actual results may differ materially from those implied by these forward-looking statements. Please refer to the company's recent earnings release and to the company's quarterly and annual reports filed with the Securities and Exchange Commission for more information about the risks and uncertainties that could cause actual results to differ. I would like to remind everyone that this call will be available for replay through July 23, 2016, starting at 3 p.m. Eastern Time this afternoon. A webcast replay will also be available via the link provided in today's press release, as well as available on the company's Web site at www.barrettbusiness.com. Now, I would like to turn the call over to the Interim Chief Financial Officer of BBSI, Mr. Tom Carley. Sir, please go ahead.
Tom Carley: Thank you, Hannah. On May 25, 2016, we filed our 2015,10-K which outlines solid performance in 2015 despite various headwinds. Net revenues of $740.8 million in 2015 increased 16% compared to 2014. Total non-GAAP gross revenues increased 20% to $4 billion over the same period. We reported diluted EPS of $3.47 for 2015. We are pleased to deliver this type of revenue and earnings growth both of which underscore the strength of our operational teams and the relationships we have in the market. The operations of the company were strong the first quarter of 2016, and we believe the results of the quarter represent a solid foundation on which to build. Net revenues of $191 million in Q1 2016 increased 15% from Q1 2015. Gross revenues of $1.1 billion grew 19% over the same period. Net loss for the first quarter of 2016 was $8 million or $1.11 per diluted share compared to a net loss of $5.8 million or $0.82 per diluted share in the year ago quarter. The Q1 2016 loss includes $0.16 per share of accounting and legal costs associated with restatements, investigations, and legal proceedings related to the securities law issues. BBSI historically reports a loss in the first quarter largely due to the seasonally higher burden of employment taxes during the first several months of the year. Also in the quarter, PEO gross revenues increased 20% to $1 billion compared to the first quarter last year. Contributing to this growth in Q1 2016 were 270 PEO client additions and same-store sales growth of 6.2%. These results are attributable to ongoing efforts to develop our referral relationships and the ability of our teams to remain focused on delivering value to our clients. Staffing revenues in the first quarter of 2016 declined 7% to $36.3 million compared to the year ago quarter. As we see a continued labor shortage, we have chosen not to maintain or pursue client relationships that do not align with our model. Gross margin in the first quarter of 2016 was $10.4 million or 5.4% of total net revenues compared to $8.9 million or 5.4% in the year ago quarter. Gross margin as a percentage of gross revenues in Q1 2016 was 98 basis points compared to 100 basis points in the year ago quarter. Improvements in both payroll and payroll taxes as a percentage of gross revenues was slightly offset by an increase in workers compensation expense as a percentage of gross revenues. We continue to see a decline in the relative frequency of workers compensation claims. Our total open claims at March 31, 2016, grew 13% from open claims at March 31, 2015, while gross revenue grew 19% for the same period. In the quarter, we saw trailing 12-month relative frequency of claims as the percentage of payroll decreased 5.3% compared to the first quarter of 2015 and decreased 4.6% compared to the first quarter of 2014. Claims from 2012 and prior are trending as expected, which leads us to believe our efforts at strengthening have had the intended effect. The significance of 2012 and older claims is that they are now well-seasoned and having been fully strengthened provide us with a solid basis for analyzing the development of claim years 2013, 2014, and 2015. In the next 12 months, claims from 2013 will have had sufficient seasoning to provide a firm representation of the new normal, as it relates to loss development, claim closures, and strengthening. SG&A expenses increased 29% to $21.9 million compared to the first quarter of 2015, primarily due to $1.9 million in accounting and legal costs associated with restatements, investigations, and legal proceedings related to securities law issues. These fees are in addition to higher management payroll and other branch level expenses to support our growth. Our effective tax rate in Q1 2016 was 34.8%, down from 36.4% in Q1 2015 due to the utilization of work opportunity tax credits, WOTC, in Q1 2016. And in March 31, 2016, we had cash, cash equivalents, marketable securities, and restricted securities totaling $294.9 million compared to $305.3 million at December 31, 2015. At March 31, 2016, we had $19.8 million in debt, including $15 million on our term loan with Wells Fargo and $4.8 million mortgage on our Vancouver Washington headquarters. We had no borrowings under our line of credit with Wells Fargo as of March 31, 2016. Due to the delay of the filing of our first quarter 10-Q, we're currently in default under the terms of our credit agreement. However, Wells Fargo has agreed to forebear immediate enforcement in exchange for filing our first quarter 10-Q by June 30. On May 24, 2016, we accelerated the payment of $2.5 million to Wells Fargo, which represents half of this $5 million payment due December 31, 2016. We will make the originally scheduled payments of $5 million on June 30, 2016, and another $5 million on September 30, 2016. We will pay the remaining $2.5 million of the December 31, 2016 payment on the earlier of either December 31, 2016 or upon the receipt of our federal unemployment tax refund. As part of our fronted workers compensation insurance program with ACE, we established and found a trust account called the ACE Trust. The balance in the ACE Trust was $190.2 million at March 31, 2016, and $166.6 million at December 31, 2015. The ACE Trust is included in restricted cash equivalents, marketable securities, and restricted securities. With respect to our NASDAQ listing status, at a hearing held June 16, 2016, we appealed the NASDAQ’s determination to spend trading of our common stock and they have granted a stay of this suspension pending the issuance of the writ decision by their hearings panel. As we introduced last year, in order to provide our investors with a more appropriate forward-looking view of our business, we have initiated a rolling 12-month outlook for gross revenues, which we plan to update on a quarterly basis. We continue to expect gross revenues for the next rolling 12-month period to increase approximately 18%. We're also introducing our full-year earnings outlook and expect 2016 diluted EPS of $3.50, which includes our estimate of $6.4 million, approximately $0.57 per fully diluted share for accounting and legal costs associated with restatements, investigations, and legal proceedings related to securities law issues. We reported diluted EPS of $3.47 in 2015. I look forward to addressing you again on our second quarter earnings call. Now, I would like to turn the call over to our President and CEO, Mike Elich, who will comment further on the recently completed 2016 first quarter as well as our outlook for the remainder of the year. Mike?
Mike Elich: Hello and thank you for taking time to be on the call. Before I move into discussion about the first quarter, I want to note that we had a very strong 2015. We faced a number of challenges, but believe the organization was tempered through the lessons we learned and we accomplished a great deal. We achieved 20% gross revenue growth; we crossed the $4 billion gross revenue threshold for the first time in our company's history; we expanded and strengthened relationships with key structural partners gaining new appreciation for the importance of our bench; we formalized our approach to developing referral channels and building runway in our sales channel; we formalized methods for recruiting and developing bench strength and future leadership; and we continue to mature how we run the company. Moving forward, in the first quarter of 2016 we start progress through growth and maturing of the brand in all markets. We also saw the strength of our organizational bench and culture of BBSI as we were tested. And we saw the progression of several significant initiatives undertaken over the past several years. In the quarter, we added 336 new PEO clients. We lost 66. Eleven were due to accounts receivable issues, 10 were due to lack of tier progression, three were canceled due to risk profile, 16 businesses sold or closed, and 25 left due to pricing to competition or companies that have moved away from the outsourcing models to take payroll in-house. This represents an approximate net build in the quarter of 270 net new clients as compared to 229 net new clients in the first quarter 2015. We also saw same-store sales increase 6.2% in the quarter. Related to pipeline and regional growth, we saw more predictability and consistent activity in pipeline and new client growth as a result of focused efforts with our referral channels. We also brought more attention and visibility to the driver supporting growth and retention. We now see broader contribution to client growth from all regions as a result of these efforts. We continue to see strong growth across all regions with the Northwest, East Coast and mountain states representing regions of particular growth as we continue to invest in these areas. Related to structural and organizational build, in March, we initiated a nationwide search for a CFO to lead our financial and accounting department. Ninety days into the search, we have had the opportunity to meet several candidates and are making significant progress towards identifying the right person to fill this critical role. In the quarter, we opened the location dedicated to the operational development of teams and future leadership. As our primary asset is people, our core discipline remains in how we attract, retain and develop talent for today and future leadership of the company. As we move forward, we continue to expand our business unit as needed to support current and future organizational and market demand. Currently, we have 49 business units supporting 55 branches. We currently have eight business units and development which will bring our total to 57 by the end of 2016. We now have 15 branches that have or will reach the $100 million mark by the end of 2016. A measure we use to indicate a branches ability to increase leverage and a tipping point of the brand and its local market. We have branches -- we have two branches slated to open in late 2016 and early 2017, one on the East Coast and one in Southern California, which will bring our total branch count to 57. Related to systems, as we recruit and develop stronger teams, we are focusing our tool -- our systems and tools that will allow our teams' greater leverage. We believe our teams will use -- will need greater predictability to successfully stay ahead of our growth curve. To that end, in the quarter we initiated an operational dashboard called 360 that when fully implemented will provide greater visibility into key metrics and bring greater predictability to our business. Through upgrades in systems over the past six months we've created a strong foundation for future growth. We continue to evolve to next generation technology platforms that complement how we look at the business and how we operate at different levels of the company. We also continue to create stronger alignment between our vision and our approach to structure and the systems we develop to support branch relevance over time. Related to workers comp and the underwriting of risk, we continue to make progress in bringing predictability to the company's workers comp expense through our approach to running the company and helping business owners to run better companies we are seeing systemic improvement related to stronger cultural alignment with all disciplines during the pipeline process which continues through the client relationship. Emphasis on continuous improvement and on root cause analysis and focus on frequency as the control factor and controlling expense. Moving forward, we will continue to monitor trends to maintain proactive approach -- proactive position related to workers compensation. We expect this to result in greater predictability within the model over time. Looking at the remainder of 2016, we have learned many lessons over the past 18 months and made -- that have made us a stronger organization today. We remain true -- what remains true is that the basis of the business -- of our business success is our organizational structure. Having spent much of the first quarter with 90% of the company's field leadership, I've never been more confident in the organization's ability to evolve and adapt as we move the business forward. As an organization that seeks to help business owners navigate inflection point in their growth, we recognized the need to do the same for our own business. To do so, we need to recognize there are elements of the organization that will always need to evolve as we grow. The lessons we've learned along the way have tempered the organization and our teams are more equipped than ever to bring consistent value to our clients and the market we serve. With that, I will open it up to questions.
Operator: Thank you, sir. [Operator instructions] And our first question comes from Matt Blazei with Lake Street Capital Markets.
Matt Blazei: Hey guys. Congratulations on getting yourself up and current I assume that you will follow your Q1 by June 30?
Mike Elich: That's the plan. That's what we are working at Matt.
Matt Blazei: Okay. And that makes you current in all of your financials?
Mike Elich: Correct.
Matt Blazei: Got it. You said, you had $1.9 million in legal costs in the quarter, but you're counting on $6.8 million in legal costs and accounting costs for the year. Can you help me understand that given that you're now up-to-date?
Mike Elich: The peak of the legal and accounting will be in the second quarter. If you think about the timeline here, the PricewaterhouseCoopers’ forensic work was done, half in March, half in April. The Moss Adams work on the restatement was done April, May. We had all sorts of legal costs flowing through, so these items will peak in the second quarter and then they will taper-off in Q3 and Q4.
Matt Blazei: So we should see maybe double that amount in Q2 is what you are saying from the 1.9?
Mike Elich: Yes. We are still -- as we're still reviewing and looking at second quarter, I know it's kind of hard to say where we're sitting and recognize we're speaking of first quarter right now. But yes, we saw that, we had the Stoll Berne’s investigation in November, December, January, which represented a great -- the bulk of 1.9, and then as you got into March, April, May, you have some of those expenses representing the work that had been done in those months related to the 1.9 and then you have additional expense, so maybe double that maybe close to 1.5. Again, we're still in a process where we are working through that.
Matt Blazei: So, the only outstanding issue outside of that business remain the SEC investigation, can you give us any update on that?
Mike Elich: Not really. Everything is -- we are cooperating fully with all the request for documents and information and that process will move forward in accordance to the processes that are laid out by the SEC.
Matt Blazei: Okay. And I think that you said you're going to take $5 million of the debt-off as of the end of this month, and then $5 million more in September?
Mike Elich: Correct. Those are the regularly scheduled payments. So it's $5 million as of June 30; $5 million as of September 30. We have the remaining $2.5 million that we pay no later than December 31 and that will fully pay-off the $40 million term-loan that we took down in December 2014.
Matt Blazei: Okay. And then, I have to ask you, I'm a little bit confused about what's going on with the staffing services side of the line. It’s obviously been struggling for a couple of quarters now, but this quarter was truly as you said a negative sort of where it was 8% negative and 7.6% comparison. So I'm just wondering what's going on, on that side of the business.
Mike Elich: Its two things, Matt. One is, as we continue to see a labor shortage that’s pushing up against a need for wage inflation in certain areas as we have customers that are reluctant to maybe increase wages, you're working with a pool of labor that we don't want to bring on to our payroll. And so as we cycle through this, we will take good businesses there that is paying what we need and we are not going to just respond by placing people that aren't qualified to be on our payroll. That's our process for mitigating risk. It's by region. We saw a softness that started last fall. It was in the October timeframe. We saw a little bit of a follow through with that in the fourth quarter and then it continued. I will say that we did see a spike or at least I would call it today more of an anomaly in January where, as we came out of the first of the year, we saw a drop in build in both payroll and hours worked. And since then, it has recovered. And that was in all lines of business. But January was a softer month as it relates to just general business, both on staffing and the PEO side. And I think that's what’s impacted the same-store sales being closer to the 6.2%, which was a little softer than it had been historically. but staffing is good business for us, but we are only going to pursue it as it's not commodified and as a business that we can do well and know that we can make money in it. We make money in a lot of different areas. I'm not going to chase business that doesn't support the core business.
Matt Blazei: All right. I'm looking forward to you guys getting current on your financials. That would be a huge positive for I think all the investors in the company. So good luck with that. I appreciate it.
Mike Elich: I think we're looking forward to that too Matt. Thank you.
Operator: Our next question comes from Jeff Martin with ROTH Capital Partners.
Jeff Martin: Thanks. Hi, Tom. Hi, Mike.
Mike Elich: Good morning, Jeff.
Jeff Martin: To start it off Mike, could you give us a little bit of insight into the restatement on the workers compensation line? It looks like in 2014 the restatement saw about $19 million increase in the workers comp expense, and then in 2015, it was tracking towards close to $200 million and it ended up at $171 million for the year, so there's obviously something shifting and looking for kind of some insight and explanation into what goes into that.
MikeElich: I will maybe touch on that a little bit, and then, I will let Tom get into details that we can get. Typically as we took the charge, it was for all years, and as we had credit, in 2012 and prior and then we see credits related to different claims that are closing in other years, typically what you're seeing is that your liability as it's understood in those past years, those dollars typically move forward, and they will move into 2014 and 2015 as the most green years to support your liability and what maybe is a little less developed. But, Tom are you --
Jeff Martin: I miss spoke on that. It actually came in lower for both 2014 and 2015 relative to what you had reported previously.
Tom Carley: I would say I point to note number two in the 2015 10-K. Our expense went up $685,000 in 2014 and $664,000 in 2015. And that's just the impact of the $10 million medical cost containment restatement. That was a big driver there. Other than that, the comp the liability or the expense is not affected other than for MCC.
Jeff Martin: I had in previous reports you had workers compensation expense in 2014 of $232 million. And in the 10-K it's $213 million. I don't know. Maybe take that off the line.
TomCarley: Take a look at that two because you are -- I am looking as previously reported of $212 million. So take a look at note two.
Jeff Martin: Okay. I will take a look at that. And then, jumping to the CFO search, could you give us a little bit more insight into how many candidates you've spoken with, how far along you are in the process and kind of what the response is and what the interaction is like and then how close you are to the hiring or finding a candidate.
Mike Elich: So we engaged with Korn/Ferry in mid-March. I think it was first part of April by the time we finally started the search. And their process was to go out on a national basis to solicit candidates. I think they ultimately talk to -- have talked to over 20 some different potential candidates. We have narrowed that pool both through first interviews from that 20 down to -- we were down to five or six, and then, we have now had second round of interviews with three finalists. So it's progressing. It's been an evolutionary process to some degree because, as you go out and you recruit any time, you're trying to match up with the best profile for the company first. You have to look at culture. You look at the technical skills and that should come through the door. So then you're looking for culture fit, you are looking for even runway for career and tenure, you are looking for experience. One other things that we have done is put the emphasis around individuals that have insurance experience. As one candidate asked me, so why are you looking for somebody with insurance background? And I said, I am not trying to make us the insurance company, but I am trying to bring technical expertise at the highest level of somebody that understands the world of insurance and is comfortable with that. So that became one of the drivers in the profile. When we ultimately choose a candidate, it's going to be was the best fit to round out our team and it gives us the best bench to be able to bench and to take the company forward and make this tighter as we look at our future growth levels.
Jeff Martin: Okay, great. And then could you touch on the referral network. I think you refer to it in the press release. And that's where you are -- is that still where you are generating predominant source of your leads, or do you have any breakdown on how much of it is client referral, how much of it is referral network and if there is other lead generation portions, could you touch on that as well?
Mike Elich: So if we look at referrals, referrals will always be I think in our as being the primary driver to how we capture market and how we capture opportunity. Primarily because it becomes a more the most efficient way to manage the sales cycle, clients come through the door knowing enough about us. They are somewhat motivated because they have heard a story that resonates from typically a trusted advisor. So one of the things that we have done is, we recognized when we took the business out. So, think of sitting where we ended last year on the $4 billion, and if you were to go out and create a 3x stress point. So, let's just -- looked at yourself and we were $12 billion, how would we -- how big were our pipelines have to be; how big -- how what are all of our systems have to mature to be able to accommodate that? So what we do as we go out and we kind of trying to figure out where is that next inflection. So about a year ago we started looking at our pipeline, where they were coming from? And what we really recognized is that we had a lot of great opportunity, but we weren't maturing those opportunities through our referral channels effectively. The other thing we realized is that it's very difficult to learn and understand our business from the outside looking in many times. So what we've done is built a model where we are bringing our referral partners in, clients in, different people that are ultimately referring us business and helping them understand our business from the inside out. And ultimately through that process what we're finding is, there are those that are stepping up and going I never realized the opportunity and since then our pipeline has been expanded and continue to accelerate. That model start went into beta mid last year. It's been maturing nicely through the last six months of 2015. We are starting to see where we are getting a lot of traction in that model moving into the first quarter of 2015 and beyond. And that's what we believe is leading to the predictability within the pipeline and the pipeline growth. The other thing we have is that we have now turned a corner organizationally where we in many years past would've looked at Southern California as one type of business, Northern California as another type of business, East Coast is a different type of business, mountain states a different type of business. Today, when we look across the whole market, the whole company and we walk into anyone branch, the messaging is consistent, the brand is consistent. How we're going to market is consistent. And as a result of that, we are seeing a real up tick in our build rates and markets that are non-California. So that is positive too. Is it relates to just where we are getting business, we continue to get more and more business from client referrals. I will say 25%, 30% maybe of our new businesses coming from client referrals where the remaining balance that might add up to 95% of our new business is coming from the referral professional referral channel which could be anything from a broker to banker to financial planner to anybody that might be a trusted advisor to our clients and we continue to mature that.
Jeff Martin: Okay. And then, previously you've provided some claims numbers in terms of open claims that were 2012 and prior, and you had a target for how many claims you would close out up by the end of 2015. Could you give us an update on that if you have it handy?
Mike Elich: I think I want to say that we are down to 670-ish claims remaining for 2012 and prior. Of all the claims -- of the claims that were strengthened, it's close to like 470.
Jeff Martin: Okay. And then last question, could you give us an update on ACE. Obviously, renewed at the start of the year and goes through, I think February of next year. Any kind of note in terms of the relationship with ACE?
Mike Elich: The relationship is in a very strong -- we're going to be spending time with their teams next week in fact. They have been a great partner. And I will also complement Wells Fargo. Great partners. They saw us in a tough time. They have stayed in our court. They've been great to help us maybe see around corners a little bit. But the partnership is strong. They are a great company and the cultures of both organizations match up well to who we are. And so, if anybody was on the line I would to thank them for just being there because they have great brands and the brands are built because of the cultures of -- who they are internally.
Jeff Martin: Great. Thanks for your time Mike.
Mike Elich: Thank you.
Operator: [Operator instructions] We will take our next question from Bill Dezellem with Tieton Capital Management.
Bill Dezellem: Thank you. I have a couple of questions. First of all, in prior quarters you have had some reserve adjustments to credits to the account. Did you have that in the fourth and/or first quarter? And then secondarily, relative to the staffing business, you had reference not taking business that you thought was bad business. What an example of that be where you are feeling as though you're getting into the lower tier of the applicant pool or the employment pool and feel they are at greater risk for filing spurious workers comp claims?
Mike Elich: Yes. I will start with the staffing question. Yes, what happened is this, as you look into your labor pools, if you are at 6% unemployment in an individual market, you would look at the pool and you look at your candidates and say I can at least look at that pool and I can hire out of that pool. Good fit for our -- there are good cultural mix that people that want to show up, people that aren't just a labor people that want a job. And that matches up. And we can do that. But when you get in some markets, unemployment is down to 4%, and then you're up against the idea of wage inflation where and a lot of markets right now you're pushing up against a market that's maybe for instance a client that wants to pay minimum wage is now working off the bottom of the barrel. And the supply demand of labor and what it costs slipped a little bit. And so, workers comp is one reason that you don't want to go there, but it is the inefficiency of just turnover, what it takes you to put those people to work, what it takes the turnover you have, the headaches associated with it, and it just becomes inefficient business. And when we such a strong growth in our PEO side when we know that we can recruit, use our resources for staffing to recruit for our PEO clients, it just becomes a better place to put resources. So related to the workers comp, I will turn it over to Tom.
Tom Carley: Bill, in the first quarter of 2016 we had expense of $848,000 on the association with the reserve of $265 million. The first quarter of 2015 we had a credit of $2.9 million on reserve of $232 million. I don't have the fourth quarter in front of me, but for the full year we had a credit of $13.7 million for 2015.
Bill Dezellem: Thank you both.
Mike Elich: Thank you, Bill.
Operator: We will take our next question from Patrick O'Keefe, Cloverdale Capital.
Patrick O'Keefe: Hey, guys. Thanks for taking my question today.
Mike Elich: Good morning, Patrick.
Patrick O'Keefe: Just relating to a question earlier on the call around the restatement and the workers comp expense, I was wondering if maybe that was confusion related to the non-GAAP workers comp number which is different from the GAAP workers comp number and of course you stated explicitly the GAAP workers comp. I didn't see much difference there were going back.
Mike Elich: Okay. That might be -- we will look at that a little closer and try to follow up with Jeff as well. I know that was a question was asked by Jeff. So thank you for that.
Patrick O'Keefe: Yes. Happy to. And then, I guess my other question was around capital allocation. So as you guys look forward to the back half of this year you're going to start piling up a significant amount of cash on your balance sheet and as you pay off the debt, you are not going to have any restrictions there. So into 2017, do you have any thoughts kind of around the dividend right now are initiating a buyback?
Mike Elich: Patrick, I think the first step as I view it is we want to strengthen our balance sheet. We need to we've been through a lot, and I think that just strengthening the balance sheet and making sure that we've got just the capital that we need to not find ourselves in a spot where we can be at risk is the first order of business. I think that the dividend we will continue to support. We see no reason that that would waiver and then I think as we -- after we feel that we strengthened the balance sheet to levels that are appropriate and give us confidence that we have built that risk out of the business, then we will look at alternatives to potentially buying equity.
Patrick O'Keefe: All right. Thanks very much guys that's all for me.
Mike Elich: Thank you.
Operator: Next we will take Jeff Martin with ROTH Capital Partners.
Jeff Martin: Thanks. Mike I apologize. I was looking at the non-GAAP workers comp expense line item from page 33 of the K versus the non-GAAP on page 42 of the K. So just wanted to clarify that for you. My apologies.
Mike Elich: No worries. Thank you. And I wish we didn't have the confusion. It's the reason why I still have to look at the business on a non-GAAP basis just because the GAAP creates, the non-GAAP is the cleanest way to look at the business. And that's how we look at running the business as well. So we'll continue to work towards finding ways to better -- the jumbo K is a big document, so I can understand if there is disconnect there a little bit.
Jeff Martin: Great. And I will follow up with you off-line.
Mike Elich: Okay. Thank you.
Operator: At this time this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Elich for any closing remarks.
Mike Elich: Thank you for all being on the call. And I do want to extend thank you to all of you that have remained in touch with us that have continued to own the stock, that continue to support our mission. We're building a great company. I also want to do thank and I know I have tried to say this to him a couple times, but he definitely accept it very well, to Tom Carley for stepping into the ring during a time of need. He has been a rock star just to watch him work with our teams and work with our partners to get stuff done has been a real compliment to our organization and to all of our shareholders. Also, Tony Meeker, I only hope when I am his age that I have the energy that he has. He has been a example worthy of imitation the last several months. And I would only hope that we can appreciate just a little bit of what he has done for us. And he continues to be in the fight every day. And we are not without our faults, we recognize that, but we are trying to get better and learn from the mistakes we made. And lastly, just also to my team and the people in the field. We have great people to come to work every day. It's no accident that we get stuff done and is no accident that we continue to do very well in the marketplace and building our overall -- towards our overall mission as an organization. I am very fortunate to have such great people that get to work with every day. So again thank you. We will speak to you as we announce second quarter and look forward to catching up then. Thank you. Bye.
Operator: And this concludes today's conference. Thank you for your participation. You may now disconnect.